Operator: Good morning. My name is Brit and I will be your conference operator today. At this time, I would like to welcome everyone to the Exelon Corporation’s First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you, Mr. Ganti you may begin your conference.
Ravi Ganti: Thank you, Brit, and good morning, everyone. Welcome to Exelon’s first quarter 2013 earnings conference call. Thank you for joining us today. We issued our earnings release this morning. If you haven’t received it, the release is available on Exelon’s website. The earnings release and other matters we will discuss in today’s call contain forward-looking statements and estimates that are subject to various risks and uncertainties as well as adjusted non-GAAP operating earnings. Please refer to today’s 8-K and Exelon’s other filings for a discussion of factors that may cause results to differ from management’s projections, forecasts, and expectations, and for a reconciliation of operating to GAAP earnings. Leading the call today are Chris Crane, Exelon’s President and CEO; and Jack Thayer, Exelon’s Executive Vice President and Chief Financial Officer. They’re joined by other members of Exelon’s executive management team who will be available to answer your questions. We have currently scheduled 60 minutes for this call. I will now turn the call over to Chris Crane, Exelon’s CEO.
Christopher M. Crane: Thanks Ravi and good morning to everybody and thank you for joining us. We had a very successful first quarter; we delivered on our financial expectations while having great quarter from an operational perspective. We had to make a hard decision, critical choice to resize our dividend within the quarter and if we struck the right balance between a strong balance sheet and returning value to the shareholder. It was the right decision to pursue our goal of long-term value return. And since January, the stock performance is indicative of the removal of the dividend uncertainty overhang, the beginning of the market recovery and in general a bullish view on natural gas. From a financial perspective, the first quarter operating earnings as announced this morning was $0.70 per share. It’s the top of our guidance range that we had previously given of $0.60 to $0.70 per share. Jack is going to provide more detail in his comments on the drivers around that. Our second quarter guidance that we are providing is a range of $0.50 to $0.60 per share for operating earnings which allows us to reaffirm our year guidance of $2.35 to $2.65 per share. Operations remained strong while the full-year gross margin expectation at Constellation is marginally lower as you will see in a hedge disclosure. It’s in line with our expectations, and Jack and Ken will provide more color during the call on the aspects of that. At present, we see no reason to depart from our full-year range. Focusing on operational updates, the fleet operated at an excellent level in the quarter. The nuclear fleet capacity factor was $96.4 compared with $93.6 for the same quarter last year. Nuclear set first quarter fleet record for generation at ownership bringing our 2007 by some 575 gigawatt-hours, that’s the fourth best quarter in the history of Exelon from a capacity factor standpoint. Our fossil and renewable fleet had a strong quarter as well, with the fossil availability of 98.4% in solar and wind energy capture rate at 94.9%. BGE throughout the quarter had a very constructive rate case and Jack is going to provide some more details on that. Switching to Illinois, SB 9 Illinois excuse me, we hope will be enacted this year. We are on a good path there, we have a had it passed with, we have good majority in the Senate and the House; we are waiting on the Governor to act. Once enacted on, we can start executing our plan of grid modernization included in the installation of the smart meters and improving the reliability of the infrastructure. Focusing on the market update, the power prices have improved since the beginning of the year as we’ve all seen. We continue to monitor markets closely to form our hedging strategy, we do believe as we previously said, there is more upside remaining in the older years. Gas prices have picked up in the near term, while holding a flat trajectory in the out years. However, there is more support for a bullish view towards gas in the forwards. The fundamental points to our existing view of the $4 to $6 an MMBtu for natural gas in the $15 to $16 range, we are constantly favoring the hedge program to these views. And Ken will be available to answer more questions in that area on the call. As we focused our look towards the balance of the year, our highest priority is maintaining our focus on safety, operations and financial discipline. Delivering on the financial results we promised will help us realize the synergy targets for the successful merger. We are on track right now to complete the $550 million run rate on synergies by the end of 2015. Looking at the growth project update, we continue to make progress on our projects that we previously announced. We successfully installed 69 megawatts of solar as part of our AVSR in the first quarter and expect to build-out another 132 megawatts in the balance of the year. The Smart Meter installation in two of the three utilities continues; BGE installed a 127,000 meter so far and have 150,000 are expected by year-end. At PECO, we’ve installed a 158,000 during the first quarter with another 160,000 expected by mid-June and the ComEd installation schedule is predicted based on House Bill 9 approval as I previously mentioned. So overall very solid quarter continuing to deliver on the promises. And now I’ll turn the call over to Jack to provide more details on the financial update.
Jonathan W. Thayer: Thank you, Chris, and good morning everyone. I’ll now review the first quarter financial results, our second quarter guidance range, the updates to our hedge disclosures and discuss our balance sheet and cash flow outlook. I’ll start with our financial results on Slide 4. Operating earnings for the first quarter of this year were $0.70 per share at the top-end of our first quarter guidance range of $0.60 to $0.70 per share. This compares to earnings of $0.85 per share that we reported during the first quarter of 2012. The key drivers of the reduction in earnings quarter-over-quarter were merger related share count differential and lower ExGen gross margin, primarily related to a combination of lower realized prices and lower capacity revenues. These impacts were partially offset by favorable weather of utilities and the addition of fourth quarter of earnings from legacy Constellation businesses. We delivered earnings at the top end of our first quarter guidance range through a number of smaller positive variances that include our nuclear fleet achieving a 96.4% capacity factor and favorable interest on tax related items. We also benefitted from approximately $0.04 per share of favorable O&M timing variance, primarily related to projects and outage timing. We expect this timing benefit to reverse over the remainder of 2013. Portfolio management results were unfavorable plan for the quarter, specifically we sold our access link early in the quarter did advance of an expected decline in prices due to moderate weather. Prices subsequently increased and are generating, we do not participate in this upward movement. Our updated hedging disclosure reflects this first quarter weakness. Importantly, while our near-term headwind; this shift in pricing is a long-term benefit due to the high ratables hedging strategy we pursued for 2014 and beyond. Starting with second quarter results, we will be able to update you on year-over-year progress for BGE and ExGen in a more comparable view similar to the sliding appendix detailing ComEd and PECO’s quarter-over-quarter drivers. As you saw from our earnings release, our GAAP earnings for the first quarter are a loss $0.01 per share, which is steadily $0.01 lower than our non-GAAP results but in line with our expectations. These items accounted for this variance. As you are recall during the first quarter, we disclosed that we will be taking a one-time non-cash charge of approximately $265 million or $0.31 per share in connection with our reevaluation of a lifetime exchange position from our ComEd asset sales in 1999. The remaining two items are the amortization of commodity contract intangibles related to the merger and changes in the mark to market of our hedges in the first quarter. The market to market impact of a loss of $0.27 per share is expected given the increase in commodity prices during the first quarter. For the second quarter, we are providing guidance of $0.50 to $0.60 per share. This compares to our realized earnings of $0.61 per share during the same period last year. The main driver for this decline are similar to first quarter explanations with power prices and capacity prices down from 2012 and includes the offset of improved rates at ComEd and BGE. I want to remind you that in the second quarter of 2012, we recorded a write down of regulatory asset at ComEd based on the ICC order in May of 2012. This was partially reversed in the fourth quarter of 2012 after the October rehearing. For the full year 2013, we are reaffirming our guidance range of $2.35 to $2.65 per share. Now I’ll provide the gross margin update for Exelon Generation. Slide 5 provides the first quarter hedge disclosure compared to the data as of December 31, 2012. As you can see, forward power prices increased in nearly all regions, in particular West Hub and Ni-Hub increased by $2 per megawatt hour or more across all of the years. This increase reflects two key factors, rising natural gas prices and expansion of heat rates in these regions. Importantly, we believe that the markets are beginning to reflect some of the $3 to $6 per megawatt hour, a fundamental upside that we have discussed previously. As for the end of the first quarter, we believe the upside is closer to $2 to $4 per megawatt hour. We still see a disconnect in lower heat rates compared to what a fundamental forecast would indicate given current natural gas prices, expected retirements and load assumptions. Importantly, ours is not the only voice highlighting the supply/demand imbalance. We believe we are beginning to see the share being materialized due to several factors. The spot market saw increased weather driven volatility during the first quarter and it seems to be a moderately more bullish sentiment across the industry around the natural gas and power markets. The increase in power prices drove increased open gross margin of approximately $350 million to $450 million per year. Factoring in the mark to market of existing hedges which decreased as prices mute higher, new hedging activity and changes to our targets we see a cumulative increase of approximately $350 million across the three years in hedged gross margin. You will notice that the Power New Business / To Go bucket shows a reduction across the years. It reflects the hedging activity that took place during this quarter for 2014 and 2015. In 2013, there is a $50 million reduction and expected portfolio management gross margin contributions for the reasons I discussed on Slide 4. Financing activity in the products we choose to hedge reflect our belief that the prices will move even higher. We are approximately 3% behind ratable in 2014 and approximately 6% behind ratable in 2015. We continue to utilize natural gas sales and options in our hedging strategy to retain upside exposure to higher power prices and expanding heat rates while protecting against downside gas movements. On Slide 6, we provide a review of our load expectations for the utilities. Overall, we see continued slow growth. In 2013, ComEd expects total load to be similar to 2012 results with only a small decline of 0.1% on a weather normal basis. This is in line with projections of moderate economic growth offset by growing energy efficiency. PECO expects overall growth of 25% which is 1% better than we believe at the time of our year-end call. This reflects economic growth in the region and an overall employment growth outlook. BGE expects overall declines and low driven primarily by the bankruptcy of one of its largest industrial customers RG Steel. Excluding this bankruptcy, 2013 load for BGE would have seen growth of 0.4% over 2012 levels driven by customer growth and economy and offset by conservation programs. Slide 7 provides an update of our cash flow expectations for this year. We still project strong cash from operations of $5.8 billion; this estimate is down slightly about $125 million from our original projections. Primary drivers decline include lower net income at excellent generation related to the previously mentioned revisions for our full-year portfolio management targets and timing of tax cash payments. We anticipate lower capital spend this year and part due to the cancellation of the Dresden and Quad Cities MUR projects. On March 25 PECO announced that it will be utilizing its excess cash to redeem its preferred stock. The redemption date is today and the total stated value of preferred stock to be redeemed is $87 million. As discussed previously, we also plan to call the $450 million of constellation junior subordinated hybrid debt this quarter with a coupon of [8.58%]. Additionally, you can see that we expect to end the year with $1.35 billion of cash across the company, the majority of which will be in held at ExGen given the size of that balance, we are reviewing the need to refinance $500 million of debt that is maturing in January of 2014. These actions were part of our plan to strengthen the balance sheet and maintain strong credit metrics as we mentioned during the year-end earnings call. Most importantly, all of our ratings and outlooks are now stable. In an effort to clarify some of the metrics, the rating agencies watch, we’ve included a slide in the appendix showing the calculation of those metrics. In closing on Slide 8, we look ahead to significant events for the remainder of the year. On May 24, the 2016/2017 RPM Auction Results will be published. Results will largely depend on how much new generation bids in whether from new construction or through transmission access. We expect a resolution of SB 9 in Illinois by the end of the second quarter, which if passed will increase operating revenues approximately $25 million and $65 million in 2013 and 2014 respectively. Additionally, under SB 9 we will increase capital expenditures by approximately $35 million and $45 million in 2013 and 2014 respectively. We also recently filed our ComEd rate case, which ask for an increase of $311 million. This reflects actual 2012 expenses and investments and forecasted 2013 capital additions to our distribution network. The new rates are expected to take effect on January 01, 2014 after the ICCs review. This filing does not reflect the SB 9 legislation, which if it becomes effective would require us to update our filing. We expect to file our next BGE rate case by the end of the second quarter. We’re optimistic that we can build upon the constructive outcome from the last rate case. We received approximately 62% of our request for electric rate increase and 71% of our request for gas rate increase. As a reminder, the appendix includes several schedules that will aide in your modeling efforts. And that concludes my comments. Now I’ll turn the call back over to Chris before we open the lines for Q&A.
Christopher M. Crane: Thanks, Jack. In conclusion, I want to reiterate a few things that you heard us say previously. We will continue down the path that we laid out on our February 7 call, which continues on with our primary goal remains strengthening the balance sheet, focusing on operations and looking for ways to improve operational efficiencies. We’ll continue to look for opportunities to grow the company, making opportunistic investments using our balance sheet strength were applicable and ensuring that actions will be accretive to the company, the company’s financial step. With that, we’ll open it up to questions.
Operator: (Operator Instructions) And your first question comes from the line of Greg Gordon from ISI Group.
Christopher M. Crane: Hi Greg.
Greg Gordon – ISI Group: So, this is the, I think this is good quarter by the way and we’re happy to see that pricing is starting to cooperate with your thesis, few questions on those fronts, and on cash flow. So the power of new business to go versus the mark-to-market has just opening gross margin. Is it fair to presume that you’ve lowered again your expectations for margins and or volumes given that out in 2013, 2014, and 2015, just given the persistently low level of pricing and low level of volatility as it relates to competitive energy supply?
Christopher M. Crane: Yeah, Ken will address that and we will circle back if you have a cash flow question.
Kenneth W. Cornew: So Greg, that’s not the case. It’s actually in 2013 we have reduced our target expectation for Power New Business / To Go essentially because we got defensive on natural gas prices early in the quarter and hedged the portfolio tightly and missed an opportunity to gain some upside from spot prices in the first quarter. In 2014 and 2015, it’s actually a very different story. We have actually achieved new business targets as or better than expected in those years and when we do achieve those targets what we do is, we reduce the Power New Business / To Go line and it rolls into the mark to market of hedges. So our hedging position that we’ve had on that associated we are taking advantage of upside in the power markets is benefiting us on those two years.
Greg Gordon – ISI Group: Okay, great.
Jonathan W. Thayer: Follow-up on free cash?
Greg Gordon – ISI Group: Yes. When I look at Page 18, where you show the build out to your consolidated cash flow outlook, there is a lot of what I would relatively small changes but the two big ones are $225 million reduction in expected CFO from ExGen, but then also a $325 million decline in expected other cash flows. Can you dig a little bit deeper into those two items?
Jonathan W. Thayer: Sure. So as we discussed previously, some puts and takes as you point out, so from a cash from operations roughly $125 million decline relative to the expectations primarily related to ExGen and tax timing, offset on the CapEx side by the cancellation of Dresden and Quad Cities MUR. The primary driver of the change in cash relative to the beginning of your forecast is lower financing of ComEd, a $175 million and BGE of $52.
Greg Gordon – ISI Group: I just want to understand why you know when course of this for the last several months, since you just gave us your fiscal year outlook recently. There has been such a dramatic change in the expected CFO from ExGen. Is it related to the hedging activity in the quarter that – in the first quarter that went against you on gas or is it sort of something else?
Christopher M. Crane: The breakdown in the ExGen is roughly $250 million total change at ExGen’s specifically roughly a third of that is cash tax timing, offset by about $150 million of cash related net income. On the positive reduction CapEx, which I described related to the MURs and then the increase in the dividend on the financing line, so that is $250 million.
Greg Gordon – ISI Group: Okay and then at the bottom the change in other, it was a $400 million held at the year-end call and it’s now only $75 million.
Christopher M. Crane: It’s CP.
Greg Gordon – ISI Group: Okay thank you.
Operator: And your next question comes from the line of Dan Eggers with Credit Suisse.
Daniel Eggers – Credit Suisse: Ken, just looking at the move up in power prices and the strength, you said that you guys hedged more aggressively early in the quarter and last later. Is there any relationship between the factors you guys, you’ve had some liquidity pressure out of the marketplace selling of that had an effect on power prices or did I misunderstand your first comments?
Kenneth W. Cornew: Really when I was referred to hedging and it was associated with our 2013 decision. So we took a low 90% hedge position and took it to a high 90% hedge position in 2013 alone. We just – we got defensive on natural gas looking at early winter weather and obviously what’s happened over the last five years, as indicated the risk of natural gas prices falling didn’t happen, so we readjusted our portfolio in 2013. In 2014 and 2015, our hedging posture has been consistent with what we’ve talked about for many quarters now. We’ve held our position of going behind ratable as Jack indicated by about 6% in 2015, we’ve also held our position of utilizing natural gas and option to keep heat upside that’s another probably 8% in that 2015 portfolio. So we are maintaining a substantial upside position...
Daniel Eggers – Credit Suisse: (inaudible)
Christopher M. Crane: Yeah, so from a heat rate perspective, we are more like 14% to 15%.
Daniel Eggers – Credit Suisse: Okay. Can you just give a little color on what you guys are seeing in the retail markets as far as the competitiveness of that? Is that landscape changing all with movement in prices and generally in the past with new energy when prices rose, you saw more margin pressure in the business. Is that showing up Exelon didn’t look like it showed up in the hedging disclosure you guys gave for Non-Power New Business / To Go?
Christopher M. Crane: Dan, we’ve seen the same behavior in the retail market essentially over the past several quarters of margins being on the low end of expected ranges or experienced ranges. What’s interesting and maybe a little bit different about the first quarter this year is that customers are actually causing to decide to re-contract and buy power because for the first time in a long time prices have not dropped going through a winter and I believe a lot of customers are thinking that prices were going to go in a lower direction and it would be a great opportunity for them to lock in fixed price over the next couple of years. Prices have actually gone up. And now you see a little bit of pausing from especially commercial industrial contracting perspective. So very challenging and competitive environment remains, we’ve maintained our expectations in the disclosure for this quarter and we’ll continue to see how this shapes out.
Daniel Eggers – Credit Suisse: Okay, great. Thank you.
Operator: And your next question comes from the line of Jonathan Arnold with Deutsche Bank.
Jonathan Arnold – Deutsche Bank: Good morning, guys.
Christopher M. Crane: Good morning, Jon.
Jonathan Arnold – Deutsche Bank: Excuse the background noise, sorry about that. Staying on hedging, I just want to make sure I understand the terminology correctly. When you say you’re 6% behind ratable, does that mean 6 percentage points lower than you would otherwise be or is it a percentage?
Jonathan W. Thayer: Its 6 percentage points lower than we’d otherwise be.
Jonathan Arnold – Deutsche Bank: Okay, thank you. And then on – is it reasonable to assume that you’re 3% (inaudible) as you are looking at 16% which is obviously not on the slide you have, but you would be incrementally behind?
Christopher M. Crane: Yes, Jonathan, we will build a similar strategy and similar position in 16% as we have in 15% that’s where we are right now.
Jonathan Arnold – Deutsche Bank: Okay, great. Thank you.
Operator: And your next question comes from the line of Hugh Wynne with Sanford Bernstein.
Hugh Wynne – Sanford Bernstein: My questions go to the assumptions underlying the expectation of continued $2 to $4 upside in the round the clock PJM price post 2015. First on load growth, I wonder if you could tell me what your outlook is, I noticed that ComEd, PECO and BGE you have this large decline in load in ‘12 and you are not expecting much of the recovery if any in ‘13, what is your forecast for load growth across PJM in ‘14, ‘15?
Christopher M. Crane: Hugh, it is well under 1% at this point in our modeling. So we are not anticipating anything substantial or helpful on the load growth side when we are talking about our upside in power prices. It really is wholly driven by every time of the total asset.
Hugh Wynne – Sanford Bernstein: Great. And then what is your expectation for I guess I would call share loss of load to increased renewable generation. To what extent do you think load and PJM will be incrementally supplied by renewable generation and what impact do you think that has on prices?
Christopher M. Crane: Hope I understand your question correctly, how much renewable generation do you think – are you asking that we have in our models?
Hugh Wynne – Sanford Bernstein: Yeah.
Christopher M. Crane: We obviously have seen the build out of wind generation at the end of 2012 and with the PTC extension continue to anticipate significant wind development going forward in the next few years. So again that is another incremental generation add to our models. And quite frankly, it’s a conservative assumption of incremental additional win at significant levels and we still see the upside because of overtime. 
Hugh Wynne – Sanford Bernstein: Okay. And then final question on steam electric F1 guidelines have been published in their proposed form. Have you altered in any way your expectation of plant retirements and what is your expectation currently?
Christopher M. Crane: Our expectation of planned retirements is relatively consistent, here we have a little over 20,000 megawatts of expected retirement PJM, 47,000 in the entire piece of interconnect, and those assumptions had us move very much for us in the past few months.
Hugh Wynne – Sanford Bernstein: Great. Thank you very much.
Operator: And your next question comes from the line of Steven Fleishman of Wolfe Research.
Steven Fleishman – Wolfe Research, LLC: Yeah. Hi, good morning. Just a question on the process on growth investments. Could you maybe give a little color kind of most likely areas that you would be looking at for growth investments and thoughts on, let’s say you could signed $500 million investment, would you likely need to finance it. Have that have stock at this point or could you, things of all that or do you really need to keep bring down that in the next couple of years before you could do that. Maybe just a little color on kind on where you’re on financing?
Christopher M. Crane: So, as far as the growth strategy and where we’re focusing, we have significant area within the utilities continuing to build-out on the modernization, the Smart Meter installation and reinforcing the reliability of this system and we continue to make those significant investments. If you go to the other side of the business, although we continue to look at mostly contracted type assets at this point and we’ll continue on with some wind development and also the development in the solar area. There is about $2 billion to $3 billion of growth in the next five years that’s within the plan right now. And none of that requires equity issuance it is within our cash flow on the current balance sheet. In this forward year, we are not refinancing, or slowing the refinancing and or using cash to cover our capital obligations to strengthen the balance sheet. If something came along that was large enough, that we thought was the right strategic step, but more importantly met the right financial hurdles, that evaluation would take into consideration if equity was required to cover the dilutive effect of the equity. And we don’t see anything around that right now, but that would be the hurdle that would have to be overcome before we would go there.
Jonathan W. Thayer: I think Chris I’m sorry, we have got the space in the balance sheet (inaudible) after that, we looked at the balance sheet and drove our margin. 
Steven Fleishman – Wolfe Research, LLC: Just to clarify the $2 billion to $3 billion is that – are those growth investments that are already in the CapEx plan, are those, would that include potentially new things that haven’t been identified yet?
Jonathan W. Thayer: There is cost in that for new things that have not been identified yet.
Steven Fleishman – Wolfe Research, LLC: Okay. And is there a way to get a sense of how much are those versus kind of core the spending already in Illinois and things like that?
Jonathan W. Thayer: The $2 billion, to $3 billion Steven is actually on the balance sheet for projects that have not been identified, that are not included in our long range plan, that would be incremental and they would be in the areas as Chris described.
Christopher M. Crane: I think what we can do is follow back up with you and show you what’s broken down right now on the regulated side for CapEx. And what we know is in the pipeline on the generation side and then the balance sheet space above that for the plugs that we have for additional growth. We will pull that together.
Steven Fleishman – Wolfe Research, LLC: Okay. Thanks very much.
Operator: And your next question comes from the line of Julien Dumoulin from UBS.
Julien Dumoulin-Smith – UBS: Hi, can you hear me?
Jonathan W. Thayer: Yeah.
Christopher M. Crane: Yeah.
Julien Dumoulin-Smith – UBS: Excellent. So first question here obviously has two sides to it, as you look at the 2 to 4, how much is attributable to changes in demand responsible? Obviously they can now set prices that seems pretty material. And then secondly on the other half, how you’re thinking about changes in the added submission compliance in Illinois and the delay from 15 to 17 and how does that work into your math both with regards to moving from 3 to 6 and in the remaining 2 to 4 that remains out there if you will?
Jonathan W. Thayer: Julien, focusing on the 2 to 4 question first, we don’t have any modeling of increased volatility associated with scarcity pricing context and as you said demand response energy bidding in setting price. This analysis is strictly about the generation stack in coal retirements and that kind of upside is incremental to the 2 to 4. So that’s the first question. The second question was about our assumptions of coal retirement. So we have taken into account the best available knowledge we have in the market about every coal plant. We did not estimate that all the coal plants you’re referring to are going to be retired anyway. We run our models and don’t see really any incremental change in our estimates from that information.
Julien Dumoulin-Smith – UBS: And just clarifying question there. Clearly thrown as an incremental cost of dispatch is somewhat relevant to this conversation. How much of that element given now that they have a delay for two years have to play against your 2 to 4 or plays into your 2 to 4 today?
Christopher M. Crane: Little as none Julien. 
Julien Dumoulin-Smith – UBS: Great, thank you very much for the clarification. 
Operator: And your next question comes from the line of Stephen Byrd with Morgan Stanley.
Stephen Byrd – Morgan Stanley: Just one follow-up, Jack, you mentioned given the cash position that you had, that you continue to assess coming to that refinancing and you’ve just sort of thinking through your options, wondering if you could just talk a little bit more about that as you look at your cash balance over time and you look at the upcoming debt retirements, just wasn’t completely clear step, how to interpret the comments as you think about your options on the upcoming debt that’s coming due? 
Jonathan W. Thayer: So Steven, you can see that in this year, we are using the $450 million to retire the 8.625 senior subordinated debt which is obviously a very accretive transaction given the current interest rate environment. We have roughly $615 million coming due at ExGen in 2014 and that $550 million at ExGen and another $800 million at OpCo that matures in 2015. And part of the opportunity given the cash balance we have is to look at those maturities and determine whether it is appropriate. Given the other strategic calls on the cash that we look at that and balance that against calling those bonds as they mature and not refinancing them. Clearly if we do, do that then we have substantial room in the balance sheet for the types of strategic investments that Chris discussed earlier and that really goes into forming up that $3 billion of incremental capacity for the growth investment.
Stephen Byrd – Morgan Stanley: Okay thank you and then more I think for Ken just following a little bit up on Julien’s question on demand response, less on the energy side maybe little more in the capacity side, just curious to your take on the recent decision from FERC about basically delaying the PJM demand response, protocol changes and just generally curious as to your take on where is demand responses headed, have you seen, your more or less activity. What is your sense for the wins change on demand response and how that’s impacting the other markets?
Joseph Dominguez: This is Joe Dominguez. Let me talk first about the FERC ruling, we see that as a process ruling essentially what FERC was saying is that the PJM did not go through the appropriate process to make the kind of changes that we require to implement the modifications that it has proposed. We saw some put for those proposals and some of the FERC Commissioners, order is there but it was really a process decision that doesn’t indicate a substantive view of the issue by FERC.
Christopher M. Crane: And Steven just on the demand response claims itself. The demand response business continues to be consistent and significant. Obviously, we don’t expect to see the kind of growth we saw all over the past few years in demand response phase but there, in all our estimation there is still opportunity for growth in demand response business and we will see really how much clear is this. 
Stephen Byrd – Morgan Stanley: Excellent thank you very much.
Operator: And your next question comes from the line of Michael Lapides from Goldman Sachs.
Michael Lapides – Goldman Sachs: Two questions, one on the regulated business and one on the non-reg. On ComEd just curious given the new legislation and assume that it becomes law either the Governor signs that or it becomes law with a veto override. Do you think that gives you the ability finally to earn your authorized on a forward test year forward rate base at ComEd? That’s the question on the regulated side. On the non-regulated side, we’re seeing lots of development announcements or movement in PJM for new combined cycles. Not tons, but there is one or two companies privately held developers each looking to build a combined cycle or two or three, just curious your views on the economics of new combined cycle in PJM.
Christopher M. Crane: We’ll let Anne cover the first part.
Anne R. Pramaggiore: Hi, Michael, this is Anne Pramaggiore. Your question on the gap between the earn to allow ROE on ComEd, the legislation closes that gap. We still have a number of items on appeal from the first formula rate case filing back in November of 2011 and that constitute a portion of it. If we win those, we close the gap even further. It will continue to be a gap left even after assuming we have positive results on those two outcomes. There are some structural items that the commission has historically does not put it up for covering. Some portion of advertising cost, there is a couple of items. So there is a piece in there that will have to deal with even after we get through the legislation and the court cases, but those two efforts will substantially close that gap.
Michael Lapides – Goldman Sachs: Got it.
Christopher M. Crane: On the non-reg part, we are seeing OEM cost or construction cost coming down mostly because the technology, the unit ratings on the assets are getting a little bit larger so, the economics are improving but we still not see the market signals or the capacity market showing us that there would be economic at this point for us to be building something. So, there maybe other opinions on market forwards that the people are turned to be the first mover on but we’re not seeing the market signals yet, it’s, we justify us going in that direction.
Michael Lapides – Goldman Sachs: That implies that some of the folks, I can pick of two privately held developers that are each looking to build at least one combined cycle if not two in Pennsylvania, do you worry that they’re kind of jumping the gun a little bit in that, even if they build, even if they think the economics are good and you guys may not agree that it weighs on it everyone?
Christopher M. Crane: No, what we worry about is as they try to bypass the rules of the capacity market or the revisions that we think are going through the capacity market. If they’re planning up and (inaudible) costs as the rules, it’s their option. We have still the low cost from an energy side, the low cost competitor access that we can compete with them on that side. And as long as they clarify the rules on the capacity side, we have no worry about them coming in.
Michael Lapides – Goldman Sachs: Got it. Okay. Thanks guys, much appreciated.
Operator: And your next question is from the line of Ali Agha from SunTrust.
Ali Agha – SunTrust Robinson Humphrey: First question on the non-power margin business, that outlook remains the same for 2014, and 2015. How much visibility, do you really have on that business sitting here today? What’s the best way to gage how accurate that outlook is?
Christopher M. Crane: Yeah, our outlook is consistent in the same on non-power business. A lot of that business is regular, natural gas, retail business that continues from a renewal perspective and it has been very consistent for us. We also have some other services businesses that will regularly go from To Go to execute it, but we’ve been in these businesses for many years. And so we feel comfortable with those.
Ali Agha – SunTrust Robinson Humphrey: Okay. And Ken again to you, once would have thought how good its been that, some of the pickup in the forward floors has actually been due to the fact that in the near term gas prices have picked up, because of the unusually cold weather and as the weather settles down some of that may be given back. Do you mind to that or what do you think of that theory?
Kenneth W. Cornew: I do buy into a theory that says spot market prices do impact forward prices, but what we’re really talking about is the relationship of natural gas to power price. And when natural gas prices are essentially flat from December 31 to March 31 and power prices went up, that doesn’t associate with that period at all. So I think we are seeing more discussion in the market about this upside, we’re not the only ones with the view anymore. And as trading activity increases or liquidity increases, we would expect we will continue to see more of this upside overtime.
Ali Agha – SunTrust Robinson Humphrey: Okay. And Chris, one question for you, as you look at your portfolio to date and you look at your mix, I know you’ve talked about that in the past, are you comfortable that this is the right mix of rate versus non-rate to support both your dividend and your investment grid aspirations over the longer term period or do you think there maybe some changes at Quad at some point in the future.
Christopher M. Crane: No definitely we feel that we have the right mix and we have made the right call on the dividend that allows us to maintain a strong investment grade. As we discuss the sizing of the dividend, we are looking at the contribution of the regulated side on a more repetitive or consistent basis serving that while allowing the growth side, the competitive side to continue to utilize the balance sheet space that it creates in its own earnings. So we feel very comfortable that we have got into the right spot to weather multiple business cycles. 
Ali Agha – SunTrust Robinson Humphrey: And the volatility of earnings related to the commodity side, you are comfortable that that is the aspect of your portfolio? 
Christopher M. Crane: Yes, we are very comfortable dealing with the volatility, we like for more volatility to come back, however we are very comfortable with the volatility there. 
Ali Agha – SunTrust Robinson Humphrey: Fair enough. Thank you.
Operator: And your next question comes from the line of Travis Miller with Morningstar. 
Travis Miller – Morningstar: A quick follow-up on the non-power gross margin, and we see that didn’t changed between December and March, how much of that is due to volume? Volumes went up and margins came down vice versa?
Christopher M. Crane: I would say none of it due to volume. It is just a ratable non-power ratable non-power businesses that we execute on and when we execute on the numbers will move from to go tech.
Travis Miller – Morningstar: Okay. When we look at the merger back a year ago, I think some of the synergies and you talked a lot about the retail wholesale hearing, how much have you realized of that, how much is there left to realize that and just characterize how you’re seeing that part of the merger come through?
Christopher M. Crane: In generation space that’s part of your question, we have seen the benefits of having this combined businesses in the combined portfolio. We did see those benefits in our 2012 actual results. Obviously in 2013 you’re hearing about a hedging position we took. That I think is going to result in the same kind of numbers as we had last year from a portfolio management perspective, but we still have a lot of work to do on integrating systems and integrating the platform, and we continue to work through that this year and we do expect to see consistently improved portfolio management and other earnings elements from the business when it’s combined versus or not.
Jonathan W. Thayer: As soon as we controlled last year, in each year it gets harder to segregate, you’re not keeping separate books anymore but as we told you at the end of last year, your portfolio management on the integrated platform was another $400 million of gross margin. And as Ken said this year, we took a combined bet on minimizing risk of gas going down in the first quarter but we will continue to see the benefit of optimization and we’ve already seen the benefits in reduced cost around liquidity as we collapsed those lines. So what we – the thesis of the merger has worked out as we projected.
Travis Miller – Morningstar: Could we see incremental upside to that 2 to 4 per megawatt hour number you’ve given up, given the synergies? Is there still enough left to go that you could see your upside?
Jonathan W. Thayer: We are holding it to 2 to 4 and we will try not to change where it could be another $0.25 here – there is upside that that’s in this market and there is in portfolio management and we’ll continue to watch that report on it. But our disclosure is that have an expectations of these synergies already in.
Travis Miller – Morningstar: Great, very helpful and thanks.
Operator: And our last question comes from the line of Paul Patterson with Glenrock Associates.
Christopher M. Crane: Hey, Paul.
Paul Patterson – Glenrock Associates: Hey, how are you doing?
Christopher M. Crane: Doing good.
Paul Patterson – Glenrock Associates: Just really quickly, most of my questions have been answered. But just – and I apologize if I miss this. But [Brocard] looks like the hedged numbers went down and I know some of that probably has to do with the expected generation going up, but even sort of factoring for that? It appeared that – it appears that you guys have less hedge I guess is, I tried back into it? Sorry, go ahead.
Christopher M. Crane: That’s exactly right. We had an increase in expected generation from improved spots in 2014 and 2015, quite frankly, we did not hedge that increase. So by design the hedge disclosure is going to show that our hedge percentages have dropped to have more megawatts to sales and we have not sold them. We believe there is substantial upside in our cost relative to the current market prices then we’re holding that position et cetera.
Paul Patterson – Glenrock Associates: It currently looks like actually the number might have changed. That’s actually might have reduced your position, not just on a relative basis, because of the expected generation, but because it just looks like actually perhaps the absolute number had – but you actually reduced your hedge position even if you hadn’t expected increase in generation fulfillment?
Christopher M. Crane: No, Paul we didn’t. We didn’t.
Paul Patterson – Glenrock Associates: Okay. Okay, that’s helpful, okay.
Christopher M. Crane: We just held our position.
Paul Patterson – Glenrock Associates: Okay. Thanks a lot.
Christopher M. Crane: Okay. Congratulations for those who were on the call. Thank you very much for joining us.
Operator: Thank you. This does conclude today’s conference call. You may now disconnect.